Operator: Greetings, and welcome to the CVR Partners First Quarter 2014 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Wes Harris, Vice President, Investor Relations for CVR Partners. Please go ahead sir.
Wes Harris: Well, thank you, Kevin. We appreciate everyone joining us for today’s call. With me today are Chief Executive Officer, Jack Lipinski; Chief Operating Officer, Stan Riemann; and Chief Financial Officer, Susan Ball. As in the past before we discuss our 2014 first quarter results, we’ll make the following Safe Harbor statements. In accordance with federal securities laws, statements in this earnings call relating to matters that are not historical facts are considered forward-looking statements. These forward-looking statements are based on management’s beliefs and assumptions using currently available information and expectations as of today. These forward-looking statements are not guarantees of future performance and involve certain risks and uncertainties, including those noted in our filings with the SEC. In addition, today’s presentation includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliations to the most directly comparable GAAP financial measures are included in our 2014 first quarter results press release. Adjusted EBITDA is an example of such non-GAAP measures. Adjusted EBITDA represents net income adjusted for depreciation, amortization, net interest expense, income tax expense, and non-cash share-based compensation. So with that, I’ll turn the call over to Jack.
Jack Lipinski: Thank you, Wes, and good morning, everyone. Thank you for joining us this morning. We began 2014 with a solid first quarter that was clearly in line with our overall expectations. Financial highlights for the period include a net income of $21.5 million on $80.3 million of net sales. And our adjusted EBITDA was $29.9 million. In this morning’s press release, we also announced the distribution of $0.38 per common unit for the 2014 first quarter. This distribution will be paid on May 19, to unitholders on record on May 12. During the quarter operationally, our gasifier ran at approximately 99% on-stream. The ammonia unit operated at about 92% and the UAN plant ran at 97%. During the quarter, we experienced seven days of downtime at the ammonia unit, primarily due to issues with the waste heat boiler. We’ve replaced it with a repaired boiler from inventory but continue to have issues. As a result, in the first half of April, we brought the ammonia plant down for about 3.5 days for further repairs. Also a refurbished waste heat boiler has been fabricated and it is on its way to the plant. We plan to install it later this month, which will require about five days of further downtime. However, during this period we will also install tie-ins for our upgraded pressure swing absorption unit designed to increase hydrogen recovery. From this additional hydrogen, we expect to see as much as 25 tons a day of incremental production. Given the downtime required for the boiler installation and the other work we will perform, we no longer anticipate having a mid-year seven-day full plant outage. We still anticipate our next full turnaround to be in 2015. While there have been issues with the ammonia plant, for the most part we have operated the UAN plant at anticipated rates. During the first quarter, we had two days of downtime in the UAN units, but that was in line with our expectations. For the second quarter, we expect UAN production levels to be between 230,000 and 240,000 tons. Just if you recall, during our first quarter call, we gave operational guidance to the year that remains unchanged at a million ton of production for the year. Turning a little to the market. In the first quarter, we received an average netback price of $253 per ton for UAN, and $479 per ton for ammonia. This is compared to last year’s first quarter average netback prices of $295 per ton per UAN and $663 per ton for ammonia. Recall that last year this time, there was substantial demand for fertilizer, as at the time the USDA was estimating more than 97 million acres of corn would be planted, that was the largest amount anticipated in over 75 years. Driving the USDA’s view was the very low level of corn inventory leading into the 2013 planting season. And if you recall, it was a widespread drought in 2012 which drove the increased planters. At this point, I’ll turn the call over to Susan Ball, our Chief Financial Officer to discuss our detailed financials. Susan?
Susan Ball: Thank you, Jack, and good morning, everyone. As Jack previously mentioned, net sales for the 2014 first quarter were $80.3 million. This compared to $81.4 million in 2013. Contributing to the decrease was this year’s lower ammonia sales volumes and related freight revenue due to the increased conversion of ammonia afforded by the expanded UAN plant. Also contributing to the decrease was lower sales prices for UAN and to a lesser extent, ammonia. Partially offsetting the year-over-year decrease in net sales for the first quarter was higher UAN sales volumes and related freight revenue, as well as higher hydrogen sales to the CVR Refining’s adjacent refinery. Cost of products sold for the 2014 first quarter was $21.7 million, as compared to $10.6 million in 2013. The substantial majority of the increase was associated with our purchase of ammonia from third-parties. Also contributing to the increase was higher cost for railcar repairs and freight. Direct operating expenses were $24.2 million for the 2014 first quarter, as compared to $22.6 million last year. The increase was primarily attributable to higher utilities and refractory brick and catalyst amortization. Partially offsetting the overall increase was lower personnel and insurance costs. Selling, general and administrative expenses for the 2014 first quarter were $4.6 million, as compared to $5.6 million in the first quarter of 2013. Contributing to the decrease was reduced General Partner reimbursements, as well as lower costs for outside services and share-based compensation. Partially offsetting the overall decrease was higher service agreement expenses. Depreciation and amortization expenses increased to $6.7 million in the first quarter of 2014 from $5.8 million in the same period for 2013. This was substantially due to having a full quarter of depreciation in 2014 for the UAN expansion assets, which were placed in service in February 2013. Finally, net income for the 2014 first quarter was $21.5 million or $0.29 per common unit. This is compared to net income of $35.6 million or $0.49 per common unit for last year’s first quarter. During the 2014 first quarter, we spent $3.4 million on capital projects, which included $1 million for maintenance CapEx. For the 2014 full year, we expect maintenance CapEx to range between $9 million and $11 million. Finally, we ended the 2014 first quarter with substantial liquidity, including $85.9 million in cash and cash equivalents and $25 million available under our revolving credit facility. In addition, our long-term debt level remained low at $125 million. With that, I’ll turn the call back over to Jack.
Jack Lipinski: Okay. Thank you, Susan. Reiterating what I said on our February earnings call, the expectation of a record corn harvest last year led to low UAN prices in the fall. Since then prices have improved, as USDA lowered their outlook for the 2013 year ending corn inventory levels basically stocked [indiscernible]. The expectation is now that more than 90 million acres corn will be planted this spring. Currently Gulf NOLA spot prices for UAN are in the range of $285 to $290 a ton. As we’ve said before, we typically realize a premium of up to $15 per ton over NOLA prices, given our location-related transportation costs. Please also recall that a significant portion of our sales are sold over, including tons per delivery this spring. For example, more than 60% of our orders for delivery in this year’s first quarter were taken in November. For the second quarter, we have approximately 70% of anticipated sales, either delivered or on the door. Almost one-fifth of these orders were taken in November and December. For the second half of 2014, we will have a better handle on prices once we enter the fill season in the next month or so. Like last year, fill prices will be driven by the market’s view of this year’s corn harvest inventory levels and expected worldwide fertilizer and supply demand levels. During the fill season, we have historically taken orders for substantially all of the second half of the year’s production. Given that most of these tons go into storage for use next spring, we typically see prices fall during the fill season. If you look back through 2009 to 2013, the average netback price we’ve recorded for UAN sales in the second half of the year was just under $50 per ton, less than the average second quarter price received in the similar periods. There is variability in these numbers. Averages are averages. Looking at 2013, the average for that year was $75 a ton. So, I don’t know exactly where history is going to take us. It could move, it could be better, it could be worse than average. We actually won’t know until we actually take orders for the fill season. And again we’ll be able to give you a clear view of second half pricing during our next earnings call. Talking a little bit about some of our growth projects. In my opening remarks, I discussed our expanded PSA unit that will increase our daily hydrogen production and therefore ammonia production. In addition, during the first quarter, we began utilizing our recently constructed UAN terminal in Dartmouth, Kansas to store and distribute some of our production. It’s located about 250 miles northwest of Coffeyville. And this facility provides us the ability to defer a portion of our production, which would otherwise be sold at lower prices and carry it over into the in-season for next year. So basically by being able to store the material, we will put it into inventory at the lower fill levels, and so in the higher spring planting season – higher levels we see in the spring planting season. We currently have the ability to store more than 100,000 tons of UAN at distribution facilities near farming communities in key growing areas. We also made good progress during the quarter on our plant’s diesel emission, fluid storage and load-out facilities. Similarly to how UAN is priced at a premium to ammonia, DEF sells at a premium to UAN on the nitrogen content basis. Before I open the call to questions, I’d like to take a moment to reiterate our recent announcement that Mark Pytosh, a current member of our board is going to be joining us as CEO. That will occur next Monday on May 5. Concurrent with Mark’s change in role in our partnership, I also welcome Peter Shea as a new Independent Director of Board of Directors for our General Partner. And operator and Wes, with that, I’ll turn it over for questions.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. (Operator Instructions) One moment please, while we poll for questions. (Operator Instructions) If there are no questions at this time, I’d like to turn the floor back over to management.
Wes Harris: Yes. Hi, this is Wes Harris. Again we appreciate everyone joining us today. I also want to thank clearly Jack and Susan did a great job, because they answered all your questions. I wanted to thank Jack. I’ve got to work more closely with him over the last couple of quarters. He will be talking about Mark Pytosh moving forward, but I appreciate Jack taking on these additional responsibilities over the last few months. So we’ll talk with you next time in either late July or early August. Thank you.
Operator: Thank you. It does conclude today’s teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.